Rodolphe Ozun: Ladies and gentlemen, good afternoon and welcome to today's conference call. I am Rodolphe Ozun, Director of Financial Communications at LVMH and with me Jean-Jacques Guiony, our Chief Financial Officer. Jean-Jacques will start by taking you through the key highlights of the first half of 2024. I will then comment on the performance by business group, after which Jean-Jacques will conclude with more detailed comments on the group's financial performance. After these remarks, we'll be happy to take your questions. As a reminder, certain information to be discussed on today's call is forward-looking and subject to important risks and uncertainties that could cause actual results to differ materially. For these, I refer you to the Safe Harbor statement included in our press release and on Slide 2 of our presentation. Turning now to our announcement, our release was issued a short while ago in both French and English and is available on the LVMH website, lvmh.com, as are other slides for today's call. Jean-Jacques will now make a few opening remarks.
Jean-Jacques Guiony: Thank you, Rodolphe. We begin on Slide 3 and for the first half of 2024, LVMH showed good results, delivering €41.7 billion in revenues, up 2% year-on-year obviously on an organic basis. This resulted in profit from recurring operations of €10.7 billion, down 8% versus the first half of 2023, including a minus 5 currency impact. The operating margin reached 25.6, significantly exceeding pre-COVID levels, and free cash flow bounced back 74% to a more normative level of €3 billion. The gearing is consistent with habitual levels at 18%. Turning to Slide 4, you can see some of the key trends and highlights for the Group and its divisions. The main points to bear in mind are on the negative side. Continued economic and geopolitical uncertainties are still impacting certain businesses, notably Wines & Spirits, although there are signs of the situation improving for Cognac in the U.S. on the positive side. I would mention the continuation of the Group's organic revenue growth with consistent trends throughout the first half. Good results in Fashion & Leather Goods where operating margins remains at an exceptional level, continued growth from the Chinese clientele and double digit revenue growth at Sephora on very demanding comps. Rodolphe will now comment on the numbers by business groups.
Rodolphe Ozun:
Minuty: Profit from recurring operations reached €777 million, down 6% year-on-year, with an operating margin for the division of 27.7% in the first half, broken down Champagne & Wines generated €1.4 billion of revenue in the first half, representing an 8% decrease on an organic basis and a 12% decrease on a reported basis after taking into account a negative 7% currency impact which was magnified by the devaluation of the Argentinian peso, and a positive 3% premature impact. Cognac & Spirits also delivered €1.4 billion of revenue in the first half, representing a 10% decrease on an organic basis and a 12% decrease on a reported basis after taking into account a negative 2% currency impact. On Slide 8, the first half performance of Champagne & Wines was impacted by weak demand for champagne in our key markets, notably in Europe, although revenue for champagne remains significantly above pre-COVID levels in both value and volumes. Meanwhile, Château d’Esclans pursued its international developments and enjoyed strong revenue growth, particularly in the U.S., whilst we consolidated the prestigious Château Minuty for the first time. In Cognac & Spirits, Hennessy returned to growth in the U.S. in the second quarter as depletions stabilized and retailers had to reorder despite cautious inventory management. Against this backdrop, Hennessy gained market share in the first half of the year. The Chinese market for cognac remains challenging, demand is soft and retailers are cautious. However, Hennessy is keen to control inventories and selling was, as a result, significantly below depletions. Finally, in spirits, Belvedere's high end vodka, Belvedere 10 saw a promising start, while Glenmorangie launched it product range with a new triple cask reserve whiskey. Turning to Fashion & Leather Goods on Slide 10 revenue reached €20.8 billion for the first half of 2024, up 1% on an organic basis and down 2% on a reported basis after taking into account a negative 3% currency impact. Profit from operations reached €8.1 billion, down 6% year-on-year. The main drivers of this decline are continued investments in distribution, which were partially offset by communication expenses and more importantly, significant direct and indirect impact from currencies. Operating margins remained at an exceptionally high level of 38.8% in the first half.
du Louvre [ph]: Pharrell Williams celebrated Louis Vuitton's Spirit of Travel with an excellent show at UNESCO's headquarters in Paris entitled The World is Yours. The Maison unveiled the latest chapter of its iconic Core Values campaign, with yet another memorable image featuring legendary tennis champions Roger Federer and Rafael Nadal hiking in the Dolomites and as always Louis Vuitton continued its constant innovation in leather goods, including the low key bag, and Pharrell Williams' reinterpretation of the mythical speedy bag with the Speedy P9. Christian Dior continued to show remarkable creative momentum, driven by the desirability of collections designed by Maria Grazia Chiuri and Kim Jones, whose fashion shows achieve record visibility. The women's collections shown in the magnificent garden of Drummond castle in Scotland and the Brooklyn Museum, both receiving an extraordinary welcome.
Toile de: To give a bit of highlights of happenings at other brands in the first half, Celine continued to unveil new women's and men's collections and saw a strong growth in accessories. Jonathan Anderson continued to showcase his bold creativity at Loewe, which celebrated its heritage Spanish roots and 178 years of commitment to craftsmanship with an exhibition in Shanghai called Crafted World. Fendi launched a collection of seven exclusive fragrances evocative of the origins and places dear to the Fendi family. Loro Piana continued to expand in leather goods. And for those of you unwilling to compromise on comfort or elegance, I encourage you to discover the new Into The Wild collection specifically designed for outdoor activities. Rimowa revived the Hammerschlag collection and communicated on a lifetime warranty, whilst Berluti unveiled its designs for Team France's uniform at the opening ceremony of the Olympic and Paralympic Games, which we all look forward to starting in just a few days. Moving now to perfumes and cosmetics, on Slide 13, revenue rose to €4.1 billion for the first half, reflecting the ongoing success of its flagship lines as well as its selective distribution policy. Revenue increased by 6% organic and 3% reported after taking into account a negative 3% currency impact. Profit from recurring operations remained stable year-on-year at €445 million and the operating margin was broadly unchanged at 10.8%. On Slide 14, looking at some brand highlights specifically, Parfums Christian Dior continued to enjoy an excellent performance in all product categories thanks to the ongoing success of its iconic franchises, including Sauvage, J’adore, and a contemporary reinterpretation of Miss Dior in fragrances, as well as Addict, Forever, and the relaunch of Rouge Dior in makeup. The brand also continued to grow in non-japan Asia, supported by the success of the Prestige and capture of skincare lines, and reinforced its leadership in Japan, Europe and the Middle East. Among other brands in this group, we again saw good momentum driven by continued innovation across all product categories. Guerlain was buoyed by the strong performance of its fragrance innovation, in particular within the haute Parfumery line L’Art et la Matière as well as the Aqua Allegoria range. Parfums Givenchy saw market share gains for L'Interdit and further success in its star makeup line, Prisme Libre and Fenty Beauty launched a new range of hair care products and expanded its retail presence in China. Now moving on to Watches & Jewelry on Slide 16, revenue for the first half of 2024 came to €5.2 billion, down 3% organic and 5% reported after taking into account a negative 3% currency impact and a positive 1% premature impact related to the first integration of jewelry producer Piedimonte. Profit from recurring operations came to €877 million in the first half, down 19% year-on-year, including a significant negative currency impact. Turning to Slide 17, we outlined various initiatives exemplifying our Watches & Jewelry Maison's focus on high quality, starting with Tiffany, which accentuated strategic focus on its iconic lines, Tiffany T, Lock, HardWear and Knot with a new marketing campaign called With Love, Since 1837. Tiffany was equally active on the innovation front with a new Titan by Pharrell Williams collection, whose striking contemporary design received an excellent response. The brand kept reinforcing its legitimacy in high jewelry with Celeste, unveiled in Beverly Hills in May and displayed its 187 years of craftsmanship and creativity in exhibition in Tokyo called Tiffany Wonder. Tiffany also progressed rapidly on a store renovation program, with nearly 30 projects in the first half of the year and one quarter of the store network now renovated. Bulgari celebrated a 140 year long legacy of endless renewal with its new Aeterna high jewelry collection in Rome, featuring the 140 carat Aeterna necklace adorned with seven flawless diamond drops cut from the same rough stone and a new communication campaign aptly named Eternally Reborn. Bulgari also celebrated the 25th anniversary of the Bzero1 collection and reiterated its 15-year partnership with Save the Children. Finally, Chaumet unveiled the medals for the Paris 2024 Olympic and Paralympic Games, created by its design studio and adorned with fragments of our iron navy, the Eiffel Tower. In watches TAG Heuer strengthened its ties with the world of sports, in particular motor sports with a successful, with the successful relaunch of its 1986 classic, the Formula 1 collection.
1839: Turning now to our last business group, Selective Retailing on Slide 19, revenue rose by €8.6 billion, reflecting an 8% increase on an organic basis and a 3% increase on a reported basis after taking into account a negative 1% currency impact and a negative 3% premature impact related to the exit of Starboard. Profit from recurring operations reached €785 million in the first half, an increase of 7% year-on-year, with a broadly stable operating margin of 9.1%. Moving to Slide 20, Sephora had an excellent first half of the year, achieving record sales and profits as well as significant market share gains, notably in the U.S., Canada, France and the Middle East and Sephora also continued to invest in customer experience with an ongoing store renovation program and flagship openings in Florence and Manchester. DFS continued to be affected by the uneven recovery of global travel, including very gradual return of tourists to Europe, Hong Kong and Macau, where revenue is still below 2019 levels. However, DFS enjoys strong performance in Japan and at U.S. airports and work on the new Yalong Bay Galleria project in Sanya on the island of Hainan has officially kicked in. Le Bon Marche continued to grow, driven by the department store's unique differentiation strategy and exciting program of events. This ends the business group presentation and I'll hand you back to Jean-Jacques who will go through the main figures of the semester.
Jean-Jacques Guiony: Thank you, Rodolphe. So let's now discuss H1 2024 figures in a little bit of more details, starting with Slide 22. First half revenues reached $41.7 billion, up 2% on an organic basis and down 1% on a reported basis after adjusting for 3% negative currency impact and a negligible parameter impact. Slide 23 details the geographic breakdown of revenues in euro. Our regional exposure remains well balanced, with Europe at 24%, Asia 30%, the U.S. 25%, while Japan and the rest of the world make up 9% and 12% respectively. Compared to the first half of 2023, Europe and the U.S. rose 1 point, Japan was up 2 points, while Asia fell 4 points in the mix. The reason for this is explained on Slide 24 where you can see the incidence of Chinese customer purchases abroad with a very positive impact on Japan, up 57% in Q2, which remains one of the fastest growing destinations for Chinese tourists and it's a corollary, a negative impact on non-Japan, Asia. Europe and the U.S. were broadly consistent with Group average in the first half of the year, up 3% and 2% respectively. Slide 25 summarizes organic revenue growth by business group, which shows mixed trends. I won't elaborate since we have already discussed business groups' performance, but it's worth pointing out that aside from Wines & Spirits and Watches & Jewelry, all divisions continue to grow on an organic basis on high comparable basis. Breaking down this performance by quarter on Slide 26, you can see that trends were broadly consistent throughout the first half, with two exceptions, Wines & Spirits, which benefited from the gradual recovery of U.S. demand for cognac in the second quarter, and Selective Retailing, where we have two different situations. Firstly, Sephora, which continues to enjoy double digit growth rate, albeit at a slightly lower rate than in previous quarters, and secondly, DFS. You might remember that Macau and Hong Kong were the only destination open to Chinese travelers in the second quarter of last year, which created an abnormally challenging comparison basis in these markets. The good performance of DFS in Japan partially offsets this headwind, but not entirely. Let's now have a few words on EBIT by business groups. Firstly, good resilience from Fashion & Leather Goods and the Group as a whole in both cases, profitability remains very high despite a complex currency situation, which I will elaborate on the next few slides. The performance of Wines & Spirits largely reflects top line pressure. It's not particularly enjoyable, but it's not particularly surprising either. Wines & Spirits ranks amongst our most cyclical businesses and we had perhaps forgotten about the existence of economic cycles courtesy of Central Bank's accommodative policies, but history suggests that this will subside. In Watches & Jewelry we made the strategic decision to maintain the pace of store renovation and relocation at Tiffany. We've told you that consistency and long-term thinking are of the essence in this business and we are walking the talk. Finally, Perfumes & Cosmetics and Selective Retailing, which are impacted by currencies to the same extent, were able to maintain or in the case of Selective Retailing, increase profits. The outcome is an EBIT margin at group level of 25.6% for 150 basis points above pre-COVID levels on the revenue which is more than 60% higher. So a very respectable performance when put into perspective. Let's now comment our simplified P&L account for the first half of the year on Slide 28, starting with gross margin quite resilient 68.8% close to an all-time high, down only 0.6 percentage points with respect to last year. Operating expenses growth was contained to 2% on a reported basis and 4% on an organic basis. This increase reflects continued investment in our distribution network, the quality of which remains one of our strongest competitive advantages. This was partially offset by lower marketing expense, which nonetheless accounted for a bit more than 11% of sales in line, whereas LVMH long-term average. G&A were up 8% on a reported basis and 9% on an organic basis. Against this backdrop, profit from recurring operations decreased by 8%, still exceeding the €10 billion mark for the first half of the year. Financial results weighed significantly on profit, primarily for accounting reasons and I will come back on this in details in a few slides, as did income tax, where the application of Pillar Two directive resulted in a 1% increase in tax rate to 27%. After a decrease in minority interest reflecting the performance of Muay, Tennessee [ph] and DFS, the Group's share of net profit declined by 14%. Moving on to Slide 29, which I would like to take as an opportunity to discuss some of the adverse effects of currencies in more details. The first effect is displayed directly on the slide. The negative currency impact amounted to a bit more than €600 million and accounted for two thirds of the decline in profit. What I would call the indirect impact is a little bit more complex and let me elaborate. The Japanese yen currently stands at 34 years low against the euro, and Japan has become the most attractive shopping destination for Asian customers, which creates several challenges. First, the magnitude and velocity of the yen weakness make it difficult to offset the impact through price increases. Currencies fluctuate and this trend could reverse at any time, and we are reluctant to unduly penalize local demand in Japan. This means a significant portion of the growth is currently taking place at the lower price index. Second effect, it creates the equivalent of a deflationary situation in China. It's a deflation in space instead of time, but the effect is the same. It creates an incentive for Asian customers to wait for the next trip to Japan, and in the meantime they are not buying at home. Last but not least, rents are more variable in Japan than in any other geographies, which translate in limited positive operating leverage in Japan and a more pronounced deleverage elsewhere in Asia. To conclude, we are happy with the growth generated in Japan, but it comes at a notable cost from a profit and margin perspective. The next slide, Slide 30 details our net financial results, which amounted to a net expense of €250 million. Most of the lines do not show big swings except the fair value adjustment for our financial investment, which remains positive at €421 million, but much less so than last year and therefore created a significant negative swing. The cost of debt and interest on lease liabilities reflects slightly higher interest rates, which I do not need to elaborate on. Moving on to Slide 31, the balance sheet structure is very similar to last year. Intangible assets declined due to the decrease in purchase commitments for minority interest. Property, plant and equipment rose as we kept investing in stores and production facilities and inventory increased to support organic revenue growth. We also continued to purchase wine and other to support medium term growth in cognac and champagne. Turning on to Slide 32, the main highlight here is a contrast between slightly decreasing cash from operations and increasing operating free cash flow. Two main reasons for this. First, working capital, which increased at a lower pace than last year. Secondly, operating investment. You might remember that we made a number of real estate investments last year. We've made it clear that this was not meant to continue and investment therefore returned to a more normative level in the first half of 2024. As a result, free cash flow increased by 74% to an EBIT in excess of €3 billion. A comment on the Group's net debt, which reached €12.2 billion at the end of June, equal to 18.3% of total equity, which is not much to write home about. I will finish my comment on the figures with the interim dividend, which has been fixed at €5.5 a share to be paid on December 4, 2024. Finally, on Slide 35, I would like to conclude this brief overview of the activity with a few comments highlighting the most important point of this semester. The first half of the year once again demonstrated LVMH's ability to adjust to a very varied range of circumstances without losing sight of long-term objectives, be it in good times or in more challenging circumstances. Secondly, you've all commented on the polarization of brand performance and some of our brands are indeed enjoying stellar growth rates. But I think we should also highlight the timeless appeal of our flagship brands amidst fast evolving consumer tastes. Finally, we face easier comps in the second half of the year, which hopefully will result in stronger growth, but don't expect me to make forecast. As you've heard me say many times in retail business businesses, visibility is as good as yesterday's sales. Against this backdrop, we remain vigilant, but we also take comfort in the strengths of our brands, our business model, our regional balance and our financial strengths, which provides an unparalleled ability to invest behind our brands. Thank you for your attention and Rodolphe and I are now available for your questions.
A - Rodolphe Ozun: Thank you, Jean-Jacques. As always, for those of you who are connected on Zoom and would like to ask a question, please use the raised hand function of your application. And the first question comes from Luca Solca from Sanford Bernstein.
Luca Solca: Yes, hello. Good evening. I have three questions, please. The first one is about demand growth trends by nationality, especially in the Fashion & Leather Goods division. There's a lot of soul searching about Chinese demand. I seem to understand from the numbers you reported that Chinese nationals should be in good shape, but it would be interesting to get a few figures from you for what you can. A broader second question about the moderation scenario that you see in front of us going forward, there seems to be depletion of excess savings when we look at American consumers. Middle class consumers are now confronted with quite a significant amount of price increases that the sector pushed through. Do you see that adjusting the price mix and opening up to lower entry price points, especially again in Fashion & Leather Goods could be a way forward? And how important do you think that that is? And then a third, an unrelated question. There were headlines recently about sourcing practices in Italy, with subcontractors being in focus. There were reports that Armani and also Dior were sort of embroiled in this debate. And I wonder what is your update on that and how you're going to sort of potentially alter or improve your sourcing practices in Italy? Thank you.
Jean-Jacques Guiony: Thank you, Luca. First of all, on demand growth by nationality, to be honest, I don't have much to report compared to what I said. In Q1 we have minor changes in terms of main trends by nationality. The U.S. is doing slightly better, the U.S. customer is doing slightly better, the European customer slightly better, and the Chinese customer is still holding up quite well, albeit at a slightly lower rate than it was the case in Q1. And the Japanese customer is a little bit penalized by the numerous price increases that we have implemented over the last few quarters. So all in all, I don't have many, many changes to report on that front. Second question about adjusting the price mix to face the depletions, as you said, of excess savings and the price increases, we don't think so. I mean, mix is an essential component of the growth going forward. It may be less of a component of growth going forward in the next few quarters, but at the end of the day we still expect to produce positive mix impact stemming from our marketing and distributions Reg. I mean, what we have been doing over the last, I don’t know 30 years or something like that is not coming to an end because the aspirational customers in the U.S., as we commented in the first quarter of the year, is a little bit under pressure due to inflation and higher interest rates that are taking both their toll in terms of purchasing power, particularly in the U.S. and to a lesser extent in Europe. This is not nice and as we have reported many times, some brands, particularly in the U.S., are paying the price for this situation. But it doesn't change the strategy with a long-term view, which is to boost mix with the help of distribution and marketing strategies. Your third question is on an update on the Dior situation with suppliers. I don't have much to report on that. We issued a statement earlier on this week that you certainly have read. The only thing I would want to say is that we accept full responsibility for what happened, point one. Point two, we had no idea about this situation. It happened with the supplier of a supplier and we had no idea that this was taking place. It doesn't remove any responsibility on our side. This being said, there is a big difference between being responsible and willful misconduct and this was really something that we had no idea about. In terms of what we are going to do about it, I would say we are going to speed up strategy that we had been implemented for quite some time now, namely two things. One is the obvious, is obviously to intensify the level of audit and controls that we can have with our suppliers. We thought we were doing quite a lot already. Apparently it's not enough, so we need to do more and we'll intensify that. And we will also intensify the vertical integration, particularly at Dior. Dior is not at LV level. LV has a level of vertical integration of about 60% of total. Dior is a little bit less than half of that, but they were way less than that 10 years ago. So this strategy of vertical integration didn't begin yesterday. We have been implementing it for quite a while because we think it is important going forward and we will continue to do so and hopefully be able to intensify it and to make it faster than we had in mind. That's not easy to do, but the current situation requires further investment on that front.
Rodolphe Ozun: Thank you, Luca. And the next question comes from Chiara Battistini [ph] from, sorry Chiara, you will have the mic afterwards. The next question comes from Thomas Chauvet from Citi.
Thomas Chauvet: Thank you, Rodolphe and Jean-Jacques, good evening. Three questions please. The first one following up on China, two quick ones. The first one, the third plenum of the Communist Party at the end of last week there was obviously a focus on demand rebalancing towards consumption, but no meaningful concrete measure announced to support consumption labor income growth. When you talk to your local teams on the ground, what are they telling you about how they characterize the consumer sentiment environment? Obviously the outlook for the second half, I guess it's difficult because a lot of the spend is taking place elsewhere, you highlighted Japan. Secondly on China, with regards to the planned consumption tax reform, with the shift of taxation from production to distribution level, obviously historically you've passed on incremental tax to the consumer. Is it fair in this environment that you might have to think twice about whether you might want to pass on this to the end consumer in the form of higher retail price? And finally on your OpEx in the first half under good control for the marketing and selling expenses you've mentioned NP was lower year-on-year. Are you maintaining a tight control on marketing in the second half? And with regards to general and admin, up 9% constant scope and FX basis, what drove that? That's €200 million. Are we to assume a similar percentage or absolute value increase in the second half, if you could elaborate on the drivers of that increase? Thank you.
Jean-Jacques Guiony: Thank you, Thomas. Well, the first question is awfully difficult. I mean, analyzing the Chinese customer is not the easiest thing in the world and we have a little bit of a hard time doing that really from a pure macroeconomic viewpoint. When we look at our numbers, basically we look, as I said many times at the global consumption of the mainland Chinese cluster because it takes place partially inside China, partially outside China, and you have to look at it overall. As we've seen in the past, there could be some very important swings from one to the other. As I mentioned, in the first half, in the first quarter of the year, this consumption in Fashion & Leather with the Chinese cluster was well oriented. We were very high single digit year-to-date we are still high single digit. It was a little bit lower in the second half of the second quarter of this year, but it remains extremely healthy for Fashion & Leather. It's less the case for Watches & Jewelry, where we suffer quite a lot. The business is down with the global Chinese cluster. It's down in China, obviously, but it's also down with a global mainland Chinese cluster. But as far as Fashion & Leather is concerned, we are still holding up pretty well. So I find it hard to comment on the macro, but as far as micro is concerned, I think we have a mixed situation, but not that bad as far as Fashion & Leather is concerned. Consumption tax reform first of all, as always in China, we'll see when it's being implemented. It's been discussed, but it's not implemented yet, so we'll see when it happens. At the end of the day, it's usually the customer that has to pay for higher consumption taxes. It doesn't mean that we will reflect higher taxes, if any, immediately. The tax system structure in China is reasonably complex with VAT, consumption taxes, et cetera. So we would need to know the details of the reform if and when it’s been, it is implemented to know exactly what we could do about it. So, a little bit complicated to say at this point in time. You have the question on marketing and selling in the second half of the year. Obviously we try to. We will continue to exert a control over that as far as G&A is concerned. There was a natural trend to, for this part of the cost base to be on the rise because of for 2021 and 2022, not allowing the brands to adjust their cost base to the increased business. Remember that the group is 60% or 70% bigger today than it was in 2019, and the G&A had not risen at the same pace. I agree with you. I mean, they could be. There is nothing wrong with G&A rising at a lower pace. But anyway, at some point you cannot have G&A flat and the business rising 60% or 70%. So there has to be an adjustment which took place with a little bit of time lag. There were also a few one offs, I will not go into details, positive one offs last year in that cost base, which explains why it's been up that much. I would hope for a much lower growth rate in the second half of the year.
Rodolphe Ozun: Thank you, Thomas. And the next question comes from Chiara Battistini from J.P. Morgan.
Chiara Battistini: Hello. Good evening. Thank you very much for taking my questions. I also have three, please. First one on your exit rates from Q2 and into Q3. I know you said you won't comment on the outlook, but as the visibility is as good as last days sales, maybe you can give us an update on that please. Second question on your outlook for margins, actually for the second half, and how you're balancing the current lack of visibility for the second half sales versus your control on costs, so any update you can give us on IUC margins, especially for Fashion & Leather Goods, for the second half. And finally, if you could give us any color on the performance by brands within Fashion & Leather Goods, and specifically if Louis Vuitton is still in positive territory, and if you could give us an indication on the performance of late, please? Thank you.
Jean-Jacques Guiony:
Matthias: That's the only thing that is to some extent objective and that I can comment with regards to the outlook for the customers in the U.S., in Europe or in Asia in the second half of the year. It's extremely difficult to say at this point in time. And Fashion & Leather by brands, so sorry again, but I mean, when we have very flat we are close to flat numbers in Fashion & Leather. The minute I make one comment on a given brand, I mean, you'll get an insight on the others and I don't want this to be the headlines on for tomorrow. So sorry, but I will not comment. The only thing I will say is that, I mean, as it was the case already in Q1, we are very close. I mean the brands, unlike what happened in the past few quarters, all the brands are very, very close, being slightly positive, I mean, that's what we experience these days. It's really a grouped performance around the average that we have shown you.
Rodolphe Ozun: Thank you, Chiara. The next question comes from Edouard Aubin from Morgan Stanley.
Edouard Aubin: Hi, everyone. So thank you for taking my question three again. Jean-Jacques, if you could please come back on U.S. national, sorry U.S. by geography and by nationality. As you said, the growth was stable from a sequential standpoint, up about 2% in Q1 and Q2. But if we look on the two year stack, there was a bit of a deceleration. So if you could please comment on kind of the trends by for your main divisions in the U.S.? And related to that again, earlier you commented on U.S. nationals, improving sequentially, but for the Fashion & Leather Goods division, specifically worldwide, but we should understand that it remains negative right? So I just wanted to have a confirmation that maybe it went from mid-single digit in Q1 to down low single digit in Q2. So that's question number one. Question number two is on TAG Heuer and Formula 1. So the press has been reporting a few days ago that TAG will become the official sponsor of Formula 1 next year, so succeeding Rolex. I don't know if you can confirm or not, but the press is talking about annual sponsorship cost of around $150 million, which given the size of TAG, is really quite meaningful. So I don't know to what extent you can comment about what it says about the cost to compete in the space and also what it says in terms of LVMH ambition when it comes to Swiss watches. It's a subsegment of the sector where LVMH has traditionally not done as well as other segments, but what does it say about your ambition? And so just last one on Tiffany. As you said, it's a long journey towards brand elevation, so we should be patient. In terms of the progress, some of your peers reported growth in North America in Q2 a few days ago. Would it be fair to assume that based on your comments and what you reported, that it was not the case at Tiffany. And you talked about in the past in terms of some of the reason being the customer profile of Tiffany, is that in your view the main reason and exposure to engagement ring and so on and so forth, could be another reason or not? If you could comment on that, that would be helpful. Thank you so much.
Jean-Jacques Guiony: Thank you, Edouard. So, U.S. by division, as you said, I mean, flat Q1, Q2, but there are some differences. By and large, we see a slight improvement in Fashion & Leather. As I said, more substantial improvement in Wines & Spirits and a little bit of a slowdown, not very meaningful, but a little bit of slowdown in Selective Distribution, which accounts for a large share of the total in the U.S. That explains the pluses and minus at the end of the day, which are resulting in a flat organic numbers in the U.S. in Q2 compared to Q1. Fashion & Leather is what you said, I mean we see a slight improvement there from mid-single negative to low single negative but that's where we are. We have a little bit of discrepancies per brand. Dior is doing better than Vuitton, which is the other way around in China. So at the end of the day, this is not particularly meaningful, as I said. I mean, they are fairly grouped around the average. I won't comment on Formula 1. I mean there are some discussions, but it's not something I can elaborate on as we speak, nothing is decided. Obviously, the press knows much more than I do. It's normal. I'm just a CFO. So particularly with the numbers you're talking about, it's normal that I don't know about it, but frankly, I cannot really comment. Tiffany in the U.S. Yes, the pressure is there in Tiffany, I would say for two or three reasons. First of all, we mentioned the aspirational customer. It's not unique to Tiffany, but it's probably the first reason. The second one is bridal. Bridal, particularly in the U.S, is an extremely large part or a disproportionately large part of the portfolio for Tiffany in the U.S. compared to other geographies and it's really under pressure. So we get really negative pressure from that. And thirdly, as I said many times, we are working very hard on increasing the share of what we call icons, the main collections, the T, Lock, Knot, HardWare, et cetera, in the total portfolio, which works well, but it works a little bit at the expense of the rest of the portfolio. Our strategy is that down the road we should have 90% of the business done with icons. It's getting there very progressively, but it's doing that at the expense of the rest of the portfolio where we don't invest a lot and therefore we have also a negative pressure there. So in between the client, the bridal and the non-icon part of the portfolio, we are in a situation which actually reflects the reorganization and the reorienting of Tiffany not only in the U.S., but overall with better distribution, with a much greater marketing and product focus on icons. That takes time. That takes a little bit of money. I'm sure it would be better absorbed if we had a booming consumer as we benefited from when we acquired Bulgari. It's not the case, but at the end of the day, we know this is the right strategy and we will carry on.
Rodolphe Ozun: Thank you. The next question comes from Erwan Rambourg at HSBC.
Erwan Rambourg: Yes. Hi, good evening. I hope you can hear me.
Rodolphe Ozun: We can.
Erwan Rambourg: Okay, great, thanks. So three questions as is tradition. You had this willingness to defend the margin on a full year basis for Fashion & Leather. I understand Jean-Jacques that visibility is as good as yesterday's sales. Do you have good visibility on further cost containment to get as close as you can to sort of maintain the margin ballpark relative to what it's been in the past? Second question, around succession planning. There were a few changes that raised a few eyebrows. Michael Burke running the fashion group for a limited time, a few musical chairs in watches. Julien Tornare moving from TAG, now going to Hublot after just a few weeks. The nomination of a Deputy CEO at Bulgari. Could that be a blueprint for other brands in terms of succession planning to move on to the next generation? Anything you can say about the recent changes that have been announced? And then lastly, third question. There was quite a bit of contrast with your peers between Watches & Jewelry as segments with watches more or less declining in the low double digits and jewelry being more resilient. What are you seeing within the group in terms of contrast between these two sub segments? Thank you.
Jean-Jacques Guiony: Thank you, Erwan. Maybe you could also mention the fact that there is a Deputy CFO as well that was announced recently. Maybe you didn't notice, we can hear you, but that's all right. Let me try to answer your various questions. The objective of defending margins, particularly in H2, we still have this objective, but the situation in Japan that I described quite in detail during my comments on the slides is not something we had factored in and forecasted, to be frank. It's extremely violent. I mean we really have a big shift of business from Asia into Japan. Bear in mind that Fukuoka, for instance, is only two hours by boat from the coast of China. So it has a big impact. Not only do we have business at a lower price index compared to France, for instance, than it is the case in China. But also we have lower margins, as I explained before, due to the cost structure. I mean, the global impact is lower margins. We have high margins in Japan, but we don't benefit from positive operating leverage. So all in all, this is exerting a lot of pressure on the margins. What also happens in Macau and Hong Kong is a little bit unexpected. What we have there is actually prices that are extremely high compared to unusually high, I would say, compared to China, the reason being that both currencies in Hong Kong and Macau are pegged to the U.S. dollar, the U.S. dollar being strong against Renminbi. I mean you know the mechanism, and we end up with prices that are comparable in these two territories compared to Mainland China, which is a little bit unique. I've been only 21 years with the Group, but that's the first time I see that. And therefore there is no other way for discount savvy customers in Mainland China but to get to Japan. I mean, I will not elaborate much further on that. I think you got me on this, but this is exerting a significant pressure, hard to quantify, but a significant pressure on margins. And we don't know about H2. I mean, problem with currencies that what currency do, the currency can undo it pretty quickly. For the timing, nobody's talking really about the Yen being stronger than what it is today, but you never know. So I cannot really elaborate on that. Your question on succession planning, I mean, management changes result from several factors. I would say demography, personal preferences. I would say that the former is the obvious. The latter is a little bit more a private question or an individual question that I cannot really comment in general. The only thing I would say is that some people have a willingness to spend more time gardening or golfing. Some people have also willingness to occupy positions that are less visible and exposed. So at the end of the day, this creates some moves, and I will not detail much further, but this creates some moves. And we are lucky enough to have enough people in the Group so that we can accommodate and fill all the positions that we need to fill with very talented people. So I'm not particularly worried. It's true that there are a few things happening at the same time, but I don't see that as a problem as our HR policy enables us to find solutions, alternative solutions, and to keep the people we want to keep. Lastly, on watches versus the jewelry division, just to have in mind that watches now is about in between 10% and 15% of the total of Watches & Jewelry. So any gross discrepancy is not necessarily that meaningful. Watches are not below jewelry in the first half of the year.
Rodolphe Ozun: Thank you, Erwan. The next question comes from Louise Singlehurst from Goldman Sachs.
Louise Singlehurst: Hi, good afternoon, everyone. Hopefully you can hear me. Hi, Jean-Jacques and Rod. Even prior to the last conversation and question, I was going to say a big thank you to Jean-Jacques, and a warm welcome to Cecile [ph]. I'm sure you've got us for a few more conference calls and meetings yet to come, Jean-Jacques, but thank you. Just two, three questions from me, if I may, just on China and just taking all the comments that we've had so far, I think the biggest kind of concern broadly from the market, is that there might be something more underlying in terms of a change in trend. From what we heard earlier, I think, Jean-Jacques, you talked about the Chinese cluster was a little bit lower than perhaps Q1, but it sounded as though there was nothing really to flag. I just wondered if you could talk to us about what you're seeing within China, product price point, anything to call out that maybe did or didn't surprise you during that Q2 period? And then on the second question, I was just going to ask about inventories. Obviously Cognac we've been talking about for a long time, watches, inventory is in good shape and I talk globally, but obviously with a U.S. and an Asian SKU. So if we do start to see an improvement in the end environment, that we'll start see a bit of an improvement in sell-out and sell-in. Thank you.
Jean-Jacques Guiony: Thank you, Louise. What happens in China is not easy to discuss because by and large, I'm talking about Mainland China as such, which is your question. By and large it's negative, so assessing trends when a business is down again, it doesn't mean that the global business we do with mainlanders is down. I explained that before. But as far as Mainland China is concerned, the business is slightly down. And assessing trends when a business is down is awfully difficult. I mean, you can look at it from a global, in a global way, but not from such a specific angle, which is a country where people are still shopping in a meaningful way, but not as much as they used to. So the trends are not necessarily very, very, very significant. As far as the global Chinese cluster is concerned, we don't see a lot of differences compared to last year. The only thing I would say is that, and I will not mention names, the brands that have less invested into marketing in China over the last few quarters are penalized more than the other ones. So they are still, what I mean by that is that the response from customers to marketing stimulus is still quite important in China. So it's not only a demand play, it's also an offer play, as we always say about luxury. And this is why we are keeping investing into this market, which is obviously a very important market for us. Second question on inventories. Well, the situation particularly in Cognac, which is the main issue we have had over the last few quarters, with inventories being excessive in the U.S. and in China, as far as the U.S. is concerned, we think we have reached a point where sell-in and sellout are comparable. I announced that a little bit too early at the end of last year, Q1 was not so much balanced in this respect, but Q2 is much better. So we've seen virtually flat depletions and flat sellout. Sellout was a bit higher because there were areas in the U.S. where we were really lacking stocks. But all in all, it's under careful monitoring, as you can imagine, given the issues we have had in the past. But we believe that the inventory situation has improved markedly in the U.S. As far as China is concerned, it's a little bit the same. We have lowered the inventories very much in Q2. So our sellout numbers are better or not as bad as our sell-in numbers. But when I say not as bad, is that really the sellout numbers are not very, very good. So we still suffer a demand situation with Cognac in China that is quite negative and difficult to manage. So we are lowering inventories, which is the right thing to do. How low is low remains difficult to assess in the current environment. As far as depletions are concerned, we are still about 10% down compared to last year, which is not as bad as it used to be, but nevertheless is a big drag on Hennessy's profitability, I mean, revenues and profits.
Rodolphe Ozun: Next question comes from Antoine Belge from Exane BNP. Sorry.
Antoine Belge: Yes, good evening, everyone. Jean-Jacques, actually let's start with your own future. So there were some news on your side. So, first of all, can you maybe bit put some background about the decision? And also, are you going to totally retire from the company? Sometimes people at LVMH, they move to an advisory role. Also, in terms of the choice of Cecile, it was an external hire rather than an internal one and also with someone with more experience outside of the purely luxury. So, maybe a bit of background about how the sort of thought process was behind trying to replace you. The second question is, and I know you're going to push back a little bit, especially when there is 1% growth in Fashion & Leather, I'm going to ask you the pure price, the mix on the volume component. I know it's a bit tedious, but yes, any help on that would help. And then thirdly, on the business that we don't talk that much, but which seems to be under pressure, Champagne. So what could be, I mean what are the challenges here? And I mean should we maybe write-off 2023…?
Jean-Jacques Guiony: Three questions, although the first one is not particularly usual I would say. So on the background of my decision, I think I already answered. I mean, there is demography and there is personal preferences, but I won't tell you which personal preferences, and I won't tell you what happened, what will happen next. The only thing I can tell you is that Cecile will be there in some quarters, let's put it that way and in the reasoning, internal versus external, we took a very simple criteria, which was to say we want the best person, and it was Cecile. So that's the only thing I would say. You will certainly discover by yourself in coming quarters that I was right in this comment. Secondly, Fashion & Leather, mixed volume price. Well, I will just comment on mix. The mix was slightly positive. Price was hardly positive I would say so. All in all, I mean, as you said in your question, with flattish growth, it's hard to comment on that, but there were no major pluses and minus. This was all grouped around the 1%, 2% that you've seen. As far as Champagne is concerned, I think we have a severe demand issue in Champagne. Champagne is quite linked with celebration, happiness, et cetera. Maybe the current global situation, be it geopolitical or macroeconomic, does not lead people to cheer up and to open bottles of Champagne. I don't really know. The fact of the matter is that our volumes are down double digit. We understand that we are not the only one. Far from that, I mean, the whole industry is under severe pressure, particularly in Europe, where the bulk of the volumes takes place. And therefore, as far as H2 is concerned, I mean we have no particular reason. It's not retail business. We have orders from our retailers. They don't seem to cheer up as well, a lot for the second half of the year. So I wouldn't bet on a big improvement in trends, although we expect it to be less bad than the first half of the year, but probably still negative.
Rodolphe Ozun: Next question is from Carole Madjo from Barclays.
Carole Madjo: Hi. Yes, good evening. A few questions from me too, please. The first one to come back on Watch & Jewelry, I think you mentioned about the Chinese consumers that they also have turned negative in that division. And I guess that for that segment, Bulgari is the most exposed brand to Chinese consumers. So can you maybe come back a bit more, what happened there for Bulgari on Q2 versus Q1? Have you seen also here a much weaker demand? Have you? Maybe, as you mentioned, on a bit less marketing. So I guess just a bit more color on why it turned negative for the Chinese in Q2 versus, I think Q1 was pretty much flat, if you're not mistaken. Second question was about FLG. Can you also give a bit more color on the trends of the gross on a monthly basis? Have you seen a bit more difference between the month trends or broadly similar as well across all the quarter. And I think last question from me as well. Just as you take a step back and think about the rest of the year, do you feel like there is more reason to be a bit more optimistic towards H2 or I guess, are you thinking a bit more pessimistic when you think of all the trends we are currently seeing in the market? Thank you.
Jean-Jacques Guiony: Thank you, Carole. So on Bulgari, we have a slightly lower growth in Q2 than in Q1. There are two main reasons for that. One is the, the fact that the mainlanders clusters is worse, definitely worse for most of our brands in Watches & Jewelry in Q2 compared to Q1 and the other reason is more technical. And I think I mentioned that for Q1, we had a price increase at the end of Q1 that created a little bit of bubble prior to that. It's not very significant, but nevertheless, when you compare the two quarters, that creates a little bit of discrepancy between the two. More purchases prior to the price increase and less after the price hike, so that's the main explanations. The Fashion & Leather monthly, you know the answer. I mean, as I said, no details on a monthly basis. Can I be more optimistic about H2? I think I answered that already. I'm neither more optimistic nor more pessimistic and visibility is limited. As I said, the only objective point, as I mentioned, is the fact that the comparison base in the second half of last year is a little bit easier than in the first half of last year. So this could create a little bit of help, although it remains to be seen. So as I said, I mean, don't ask me to do any forecast, but don't take this for pure pessimism. I mean, I just don't know and we never know actually.
Rodolphe Ozun: The next question comes from Rogerio Fujimori - Stifel.
Rogerio Fujimori: Hi, Jean-Jacques and Rodolphe. I have three questions. The first one is about Fashion & Leather and LV and Dior. I was just hoping if you could talk about whether the performance had been coming through consistently across main product categories and anything to call out relative to styles, canvas and leather, given the shift of Chinese purchases to Japan and the dynamics of aspirational consumers under pressure. Second question is about selective retailing and I think you've mentioned that Sephora was still strong up double digits and DFS suffered from the tough comparative in Hong Kong and Macau. Could you quantify the magnitude of the decline for, for DFS in Q2 and elaborate a little bit on the regional trends for Sephora in U.S., Europe and China. And related, my third question is related to Sephora, China. I was just curious to hear your thoughts on the sequential trends for the Chinese beauty market and Asia travel retailing Q2 versus Q1. Thank you.
Jean-Jacques Guiony: Thank you, Rogerio. So, on Fashion & Leather, nothing new to report. It's exactly the same thing that than in Q1. The lower end of the product portfolio in terms of prices is doing less well than the middle or the upper part of the portfolio, which then reflects into categories. Some categories, like ready to wear are on average more expensive than other categories. So they tend to do a little bit better than handbags. But it doesn't reflect a particular appeal of rate to wear compared to handbags. It just reflects the fact that this is more expensive, usually more appealing to a more well off client and therefore the resistance of this category is better. On the second question about DFS, I mean, the magnitude of the drop is significant. About quarter 25% drop in the sales and. Sorry, the third question. I missed that. Sorry. No, that's it.
Rodolphe Ozun: Did we answer all your questions? The next question comes from Zuzanna Pusz from UBS.
Zuzanna Pusz: Thank you for taking my questions and I have just very two quick ones. So maybe first of all, on A&P woven Fashion & Leather Goods, I appreciate it. Thank you. You commented about the group level. I think it was roughly 100 basis points down year-on-year. But can you tell us maybe roughly what was the level of A&P spend at Fashion & Leather Goods and maybe how it compares versus pre-COVID? Because I think you still probably have a lot of room to maneuver. You've been spending quite a lot of on marketing in recent years. So just to get an idea where spend is currently versus, let's say, 2019. And then secondly, just, I would say quickly checking on LV pricing because I think, as you mentioned, press often reports on things which are, I guess, sometimes difficult to put in a wider context. So I've seen there were some comments in the press about LV increasing prices globally. Now, sometimes it's selective, it flags one region another, and it could be just a rebalancing. So if you could confirm if LV has raised prices just now, recently, just so we get an idea if it could help Q3 that would be very helpful? Thank you.
Jean-Jacques Guiony: Thank you, Zuzanna. So A&P in Fashion & Leather is higher in percentage of sales today than what it was in 2019. So your question is whether we can lower it much further to protect margins? Theoretically, yes. In the real life, A&P are not just spent for the pleasure of spending the money. They have a function I mentioned before, for instance, and in China we have, there are brands that have spent less than others or less efficiently, and we see the impact in a sort of differentiated type of growth rate for different brands. So it's really food for thought, because at the end of the day, the gas we put in the engine is, to a large extent, at least in the short-term, A&P. So we can lower A&P. We have done it and we'll do it further. But this has to be handled with care. A&P is not spent in pure waste. I mean, it has definitely a function. If I take for instance, the runaway show that we discussed many times together, the cost of runaway shows is increasing, no doubt, but the efficiency of the runaway shows is also increasing tremendously. 15 years ago, it was a sort of happy few gathering with no impact whatsoever on the brand. Today, when we do a runaway show, not to mention the Pharrell Williams show on the [indiscernible] of last year, which was a little bit the exception, but a regular runaway show at your would attract in between 300 million and 500 million of people within 24 hours. This 300 million of people is just an enormous amount of, when you think about it. I mean, it is not passive viewers at the halftime of the Super bowl, looking at advertising, its people deciding that they want to see the show and clicking on the webcast to see it. So it's what we call qualified viewers as opposed to passive viewers. So obviously this comes at the cost, and the cost of runaway shows today is much higher than what it is. Can we come back? Yes, but we will lose, in our view, a pretty powerful marketing tool. So that's the answer on A&P. LV. Yes, I confirm that we've been increasing slightly prices over the last few weeks with a view of, it's a sort of 2%, 3% price hike, which we would have done no matter what the context would be. That's a sort of regular price increase. And we have not increased prices in a while on a global basis, not a year of February 2023 or something like that. So it's been almost 18 months since we have increased prices for the last time.
Rodolphe Ozun: Thank you, Zuzanna. So the next question comes from Charles-Louis Scotti from Kepler.
Charles-Louis Scotti: Yes, hello. Sorry, do you hear me?
Rodolphe Ozun: Yes.
Charles-Louis Scotti: Okay, thank you. Two questions from my side, please. The first one is a follow up on wine and Champagnes. It seems that there is some price resistance and trading down from customers and prices have not been adjusted downwards yet, but the market is very promotional. How do you run the business in this context? And how do you manage this volume price arbitrage in this context? And would you be ready at some point to adjust price downwards in order to support volumes going forward? And the second question is also a follow up on Sephora. Some of your competitors have highlighted the slowdown of the makeup category in the U.S., and the fragrance category is apparently also slowing down there. Do you see the same trends at Sephora currently? And there are also more and more prestige beauty brands that are going on Amazon in the U.S. Do you see any negative impact on Sephora e-commerce business? And if you could remind us also the e-commerce penetration of Sephora, this would be super helpful? Thank you.
Jean-Jacques Guiony: Thank you, Charlie. So, Champagne, your question, how do we manage a more price conscious customer? I would say the way we always do. They are, first of all, top end brands where price resistance is limited, particularly in the nightlife. So there, the price is not really a question. Secondly, by investing behind the brand on the point of sale and in terms of A&P, what we call above the line, so advertising, et cetera. And thirdly, through promotions, we don't intend to lower prices, but we do not. We can do some, some promotions, particularly promotions LinkedIn, with volumes. And there is nothing wrong with that, to be frank. For the time being, the impact is not tremendous, but that's the way we will manage going forward. But we have no intention whatsoever to lower prices. Your question is actually, on Sephora no, we don't see major slowdown both in makeup and fragrances. The two categories, I mean, all the categories are still doing quite well at Sephora. There are ups and downs, obviously, month-by-month, but for the time being, we see all the lights being green, be it makeup, be it hair care, be it fragrances or skin care on a slightly lower, tone. Is Amazon taking market share? Probably, but given the numbers, we are reporting quarters after quarter on Sephora. I don't want to sound arrogant, but we don't suffer too much from that.
Rodolphe Ozun: The next question comes from Piral Dadhania from RBC.
Piral Dadhania: Thank you, Rod. Good evening, Jean-Jacques. So, three quick ones from me, please. For the Fashion & Leather division, could you provide any context in terms of the store traffic versus conversion dynamics that you've seen in the second quarter and how that may evolve? There's obviously a lot of press reports and feedback coming out of China. In particular, that traffic is weak, but anecdotally, are you seeing anything that's evolving in the European and U.S. markets in particular? Secondly, on A&P, just following up from Zuzanna's question, but from a slightly different perspective, the 100 basis point reduction in A&P spend, I appreciate it's not material, but based on your comment it sounds like you're ring fencing, perhaps the Fashion & Leather goods spending. So could you just help us understand perhaps where some of that savings has come from? By from a divisional perspective, our inclination is to think it's Wines & Spirits, but any confirmation there would be helpful. And third and final question is just on capital allocation. Obviously the LVMH share prices a little bit softer today than it was earlier in the year. I believe that there is a resolution in place for a fairly small buyback and you have been buying back shares over the last few years. Could you just remind us of your thought process and strategic approach towards capital allocation as it relates to share buybacks, particularly in the context of the share price evolution this year? Thank you.
Jean-Jacques Guiony: Thank you, Piral. Well, your first question is not easy because traffic is down in markets where the business is down and is up when the market is, in markets where the business is up. I mean, definitely traffic is down in China, but is up in Japan. I'm stating the obvious, sorry, because it's actually answering your question, but not necessarily in the way you want it to be answered. But China, mainland China itself, as we said, is slightly down because the business is taking place elsewhere and particularly in Japan. In Japan, traffic is going through the roof. So analyzing traffic and conversion in that context is not particularly, particularly easy. If you take the U.S., which is more stable, we don't see a major problem with traffic. Traffic is not going up, but it's not going down either. Europe is exactly the same thing, although we have more tourists and the Olympics in the France are disturbing the whole thing, so making the analysis not that easy. But I find it a little bit hard to really comment on your question in a meaningful way. Your question on A&P was to understand where the 100 basis point drop comes from. If I'm not, mistaken, it comes from all sources. I mean, all businesses have reduced their more or less to the same magnitude, their A&P intensity in the first half of the year. Lastly, on capital allocation and buyback of shares, well the answer is linked with political and taxation uncertainties in France connected surrounding buyback of shares. The existing or preceding government has been talking about attacks on buyback of shares. The future government, nobody knows what they will have in mind. So in the meantime, it's wise not to do, not to do anything. The current thinking remains exactly the same. We want to continue to buy back some shares absent of major reinvestment opportunities. But this is a little bit in conflict with the political and tax uncertainties surrounding us for the time being.
Rodolphe Ozun: And we have another two questions, the one from [indiscernible] from CICC.
Liwei Hou: Good evening, Jean-Jacques and Rodolphe. Two questions. First of all, thank you for your color on the core space in Japan. Could you also share our OpEx compilation in terms of percentage are more exposed to variable.
Jean-Jacques Guiony: Sorry Liwei, we missed half of it. More exposed to fixed cost. We missed half of it. The line is not good, so half a few words were swallowed by the line. Sorry, can you repeat please?
Liwei Hou: Oh, sorry. Yes. Is it better now? Sorry.
Jean-Jacques Guiony: Yes, go ahead.
Liwei Hou: Yes. So, thank you for your color on the coast space in Japan. I wonder if it could share our OpEx composition fixed versus variable globally in terms of percentage and which regions are more exposed to fixed and which more exposed to variable. That'll be very helpful. And secondly, since you mentioned deflationary pressure in China and some of the luxury peers have showed intention to be more price inclusive, well that make us start to rethink for our evaluations the space and strategy, especially for Tiffany, maybe making some adjustments. Thank you very much.
Jean-Jacques Guiony: Thank you. On your first question, I wish I knew the answer because it would make my life easier when it comes to forecasting what will happen and engaging with the brands on the likelihood of them achieving or not their budget. Unfortunately, it's a little bit more complex than that. I would say that, as I alluded to previously, where we have the most variable cost is in Japan, mostly on the rent side, but also on the compensation of sales assistant. So therefore, when we get higher business in Japan, the margin does not go up. Unfortunately, on the other side, the Chinese mainland China used to be very much a variable rent market, but less so since COVID because we've seen a big return of business in 2020, 2021 into Mainland China and we wanted to avoid at all costs cost that the rents were going to the roof. So we renegotiated most of the rent on a fixed basis in 2021 to avoid the doubling or the tripling of the business we enjoyed at this time to push rents to the roof. The other side of the coin is obviously today when the business is progressively slowing down or decreasing slightly because of the increased in touristic flows, we get a negative operating leverage and markets, as I said, like Macau and Hong Kong have been fixed rent market forever, so no, nothing new there. The last question was on deflation and…?
Rodolphe Ozun: Sorry Liwei. Could you possibly repeat your last question? I missed part of it.
Liwei Hou: Yes. So the second question, given the deflationary pressure in China and some of the luxury brands have showed intention to be more inclusive in terms of pricing. So will that make us to rethink about the elevation strategy for the portfolio brands, especially for brands like Tiffany? Yes, thank you.
Jean-Jacques Guiony: Okay. No, I would say I think I briefly answered on that already not necessarily in the context of jewelry in China, but our strategy is to elevate the brand from an image viewpoint. Therefore, from a mixed viewpoint, it doesn't mean that we are doubling every year. It means that we are embarking on a journey which is to increase progressively the average price of what we sell, not just by raising prices, but by selling more expensive items. It's not something that doubles every year or creates even 10% growth every year, but it's a strategy that we have been implemented in luxury forever and we don't intend to change it. It doesn't mean that we are giving up on entry price product. They are extremely important, particularly in terms of recruiting new clients. But concentrating solely on enterprise product by reducing the mix would end up with just recruiting and not taking care of our existing clients. And marketing surveys tell you that it's usually easier to take good care of your existing clients and recruit new ones. So that's why we try to balance the strategy in between recruiting clients but also taking good care of our existing ones.
Rodolphe Ozun: And we'll take our last question from Chris Gao from CLSA.
Chris Gao: Can you hear me?
Jean-Jacques Guiony: Yes, we can.
Chris Gao: Thank you. Good evening. Thanks for taking my questions. I've got three, all quick ones. Firstly, you mentioned that Chinese consumers do see very high single digit growth for Fashion & Leather Goods for the first half. So this is definitely some achieve good achievements under tough onshore trends, et cetera. So just wondering how much conviction level you have to maintain a similar growth profile of Chinese national in the second half, especially there has been some concentrated spending due to foreign exchange reasoning in Japan from Chinese national. And also as a follow up, what we know was the breakdown of the onshore and offshore mix of China spending currently? The second question is related to marketing., so just wondering, under the scenario that you might have some controlling on marketing spends, is China the market where you will control more marketing expense or actually it is not the case as currently has been seeing some short-term challenge on the ground. So also under more tightly controlled marketing expense, what are the key initiatives that you want to prioritize, especially in China? And the last question is actually a follow up from Piral’s question. So for the weakness of the China's onshore spending and among the key retail metrics in China, like average ticket size, like traffic conversion repurchase, what do you think has the best chance to improve through your efforts in the next 12 months? Thank you very much.
Jean-Jacques Guiony: Thank you, Chris. Thank you.
Rodolphe Ozun: Chris, could you cut the mic? Thank you.
Jean-Jacques Guiony: Okay. Thank you. Well, my confidence about Fashion & Leather continuing at the same pace in H2, well frankly, I'm not sure I would have been that optimistic for H1 already. So at the end of last year, I mean we saw the clouds with China consumption coming, et cetera, and the Yen was already a little bit of a factor. So it was a lot of conflictual situations that were not necessarily boding well for continued growth in the first half and it happened. So let me be humble again and say that maybe not. I don't really know. I mean, for the time, we still see a lot of Chinese travelers, particularly into Japan, which basically says something about the appetite of Chinese customers, mainlanders for our brands, which shows no sign of fading away. I also mentioned the fact that this strange situation of Japan attracting most of the growth and more than the growth actually is also creating a little bit of deflationary pressure in China, China itself, because if you can't buy at Japanese price, you don't buy and you wait till you go to Japan. So that's a little bit of wait and see attitude, which we see a little bit, despite the good numbers, we see that a little bit, and our people are reporting that. So these opportunistic purchases are probably more difficult to satisfy than it was the case when Hong Kong and Macau were almost next door and much easier opportunity to buy at a discount. So all this is quite complicated, I would say, and difficult to anticipate what will happen in the second half of the year. Again, we have no reason to be pessimistic, but being optimistic would be probably quite bold at this point in time. Marketing, well as I said, I mean, we'll be selective as far as marketing is concerned, particularly when it comes to traditional media, and we'll try to balance out marketing efforts in the various markets, as we said. I mean, the Chinese market is quite demanding from marketing in terms of marketing initiatives. At the same time it's also one of the markets where we are experiencing growth. So we will certainly allocate a significant amount of our marketing budgets there. But the U.S. is also a very important market so it's really a balance and we have done that already in the first half of the year and will continue. And your last question on what are the metrics that are the most relevant? If I understand correctly, it's about China, as I said. I mean China itself, Mainland China itself is down, not in a major way, but it's down and therefore everything is down. I mean not necessarily conversion but traffic is down because people are not shopping as much as they used to in Mainland China, they shop in Japan or elsewhere. So very difficult to make a comment on which are the main things we look at. The main thing we look at is a global business we do with the Mainlanders as opposed to what we do on a country by country basis which is obviously extremely difficult to analyze.
Rodolphe Ozun: I think that concludes this session. Thank you for attending this call and as always I look forward with Cecile to discuss with you the third quarter performance in October. Thank you and have a good evening.